Operator: Good morning, and welcome to the GeoPark Limited Conference Call following the Results Announcement for the Second Quarter Ended June 30, 2021. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. If you do not have a copy of the press release, it is available at the Investor Support section on the company's corporate website at www.geo-park.com. A replay of today's call may be accessed through this webcast in the Investor Support section of the GeoPark corporate website. Before we continue, please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time to time in the company's SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements but are not intended to represent a complete list of the company's business. All financial figures included herein were prepared in accordance with the IFRS and are stated in U.S. dollars unless otherwise noted. Reserves figures correspond to the PRMS standards. And on the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andrés Ocampo, Chief Financial Officer; Martin Terrado, Director of Operations; and Stacy Steimel, Shareholder Value Director. And now I'll turn the call over to Mr. James Park. Mr. Park, you may begin.
James Park: Thank you, and welcome, everyone. We are joining you this morning with our executive team in Colombia and the U.S. to report on our achievements and financial results during the second quarter of this year. Firstly, we wish to thank the women and men of GeoPark for their efforts and professionalism in managing our business, including through any volatility such as the recent unrest in Colombia. Since our founding 19 years ago, this backbone and spirit are key drivers of our successful, steady and continuous track record of growth and value delivery. We also want to especially thank our shareholders for their important support and for the many constructive conversations we had with them prior to our Annual General Meeting. Your votes and messages were clear, and we see this as further positive momentum for all the changes and continuous improvements that we have been pushing for and carrying out. One of GeoPark's fundamental principles is to work to get better every day and our history reflects a continuous and sometimes challenging evolution. We embrace the changing future and see it as a source of infinite new opportunities, particularly in the hypercompetitive world and exciting energy transition we are in today. Our company has built its reputation on operational performance. And we have repeatedly shown following our 19-year track record that our team can consistently deliver in any oil price environment. This is based on 4 key and different skill sets covering the full value chain of the E&P business that we have invested in and built within GeoPark. These are our ability to: one, explore for and find new oil and gas reserves and fields; two, safely, cost effectively and efficiently produce our oil and gas; three, be compatible with and minimize any impact on the communities and surrounding natural environments where we work; and four, continuously locate, pursue and acquire new prospective assets at the right price to build an enduring short-, medium- and long-term growth fairway. This technical know-how has created our current exceptional low-cost asset base with a powerful cash generation that allows us to self-fund our business growth, manage the volatility inherent in our industry and simultaneously give back to our shareholders. For example, in the second quarter 2021, our operation and financial performance delivered tangible value back to our shareholders through a significant cash flow generation with an operating netback of $74 million, which represented more than 2x our capital expenditures; profitable operations, which allowed us to reduce our total debt by $105 million, extending maturities by more than 2 years and reducing our annual interest cost by $9 million, while keeping a strong balance sheet with $85 million; a new debt structure, which now provides ample flexibility for further deleveraging; continuing to execute our share buyback and paying cash dividends; constantly working to reduce our cost structure and making us a lower cost and more efficient operator; and an ongoing review of our organic asset portfolio. As always, the foundation for GeoPark's performance is our in-house integrated value system, we call SPEED. We continue to push forward our SPEED initiative, which predates and is more comprehensive than ESG and is helping us achieve our goal of having the cleanest and kindest hydrocarbons. This also includes our continuous and successful efforts to safeguard our team, communities and operations from a lingering COVID in the region. GeoPark was recently named one of the most honored companies in Latin America in the 2021 Institutional Investor Survey voted on by the international financial community, which highlighted our team and its crisis management of COVID and our ESG disclosure. The second half of 2021 is underway, and we are moving forward in all aspects of our business. We have 6 rigs at work. Our team continues to identify attractive new leads and prospects in our big land base and is fully engaged in getting every molecule of oil and gas safely, cleanly and profitably out of the ground [technical difficulty]. We also are working with all of our partners, such as on the CPO-5 block to develop options and alternatives to accelerate our work program execution. We are drilling 20 to 23 more wells during the second half and are targeting production growth to approximately 39,000 to 42,000 barrels per day. And we have just kicked off a key project to connect to the National Energy Grid in Colombia by the end of next year, which will lower costs, operational risks and improve our carbon footprint. Our team has also initiated our annual capital allocation exercise to build our work program and budget for 2022, selecting the biggest shareholder value-adding projects based on strategic, technical, economic and social and environmental parameters. We look forward to spending time with our asset management teams while conducting this critical exercise to ensure our capital discipline and flexibility [technical difficulty] value for our shareholders. Our huge organic land base and our rich inventory of new inorganic potential projects provides an abundant and exciting opportunity set, including highly attractive exploration prospects in our core Llanos 34 block, our CPO-5 block as well as our Llanos exploration acreage adjacent to Llanos 34 where we are partnering with Ecopetrol. During this process, we also determined the cash that will be allocated to give back to shareholders and/or use to further delever our company. Today, the Board approved a doubling of our quarterly dividend to our shareholders. Thank you, and we would be pleased to answer any questions you may have.
Operator: [Operator Instructions]. Ricardo Rezende from JPMorgan.
Ricardo Rezende: A couple of questions on my side. So when you think about the second half production, on the 39,000 to 40,000 barrels per day, how do you see the production resuming throughout the quarter? And I guess here what I'm trying to think is, how should we think about the active production in this year to think about 2022 production? And then the second question is on your portfolio management. So you have mentioned that you're looking at some alternatives for your assets in Argentina, but I haven't seen anything about Chile. So what are your plans for your Chilean blocks?
Andrés Ocampo: Ricardo, thanks very much for your question and hope you are doing well as well. [Technical difficulty] and then Martin will go into the second half production that you asked. We've mentioned the other day on the release that we initiated a process with respect to our Argentina assets, and that process is going well. We are in the middle of management presentations and nonbinding offers. And when we have -- whenever we have more information, we will continue to update investors through press releases. Our expectation is to be able to close -- or not to close, but at least to have something signed and tied up, hopefully before the end of the year. But we will be updating you as more information is coming. With respect to your comment about Chile, I think we've spoken in the past and we mentioned many times that some of the assets or the less performing assets outside Colombia that also have more limited upside are subject -- in our company are subject to [technical difficulty]. Usually, the situation with Chile and historically has been more difficult because Chile is a particular market. We basically are effectively the only private company in the country -- oil company in the country. So that limits our option. But the team has been working on developing different options for us to assess some -- effectively define what the strategic alternatives for Chile are going to be. We don't have nothing definitive yet that we can communicate. But it is part of the portfolio that because of its limited upside today, it's likely to be subject to be going down that road rather than to be a long-term asset of the company. And then back to your question about production on the second half, I will let Martin respond to that.
Martin Terrado: Thanks, Andrés. Ricardo, so for the second half of the year, we're expecting total production to be between 39,000 and 42,000 barrels of oil equivalent per day. Our exit point would be between 40,000 to 43,000 barrels of oil equivalent. Roughly 85% of that is our Colombia production, and that increase in production is based on the activity that we already have going on. As Jim was mentioning, we have 3 rigs drilling in our Llanos 34 block. We're moving a rig in Platanillo to drill 2 wells, and we're also expecting a start of drilling operations in the CPO-5 block by the end -- by the last quarter of this year.
Operator: Our next question comes from Alejandro Demichelis from Nau Securities.
Alejandro Demichelis : Just one question to follow up on the previous in terms of your strategy. How is that your thinking now about say the rest of Latin America? Is this at -- with Argentina kind of being divested, with what you have done in Brazil, should we think as GeoPark going more inwards into Colombia? And as a follow-up from there, you also mentioned the inorganic portfolio or pipeline that you have. So maybe you can comment on that a little bit, too.
Andrés Ocampo: Sure. Thank you, Alejandro, Andrés here. With respect to your question about the rest of LATAM and our approach and view of the rest of LATAM, really, and as you know, and we always say the same thing, we look at the region first with no borders. We start from the subsurface and look at the basins. And I think it is more asset quality nature and upside rather than where the asset is located. So currently with the portfolio that we have today organically, we have our hands really full with a massive portfolio of incredible opportunities to drill. I would say 95% of that is within Colombia. And even within Colombia, probably around Llanos 34. So that's Llanos 34, CPO-5 and all the rest of the exploration acreage around it. So with the asset portfolio that we have today, we have a huge inventory of things that we can go after consolidated in Colombia. So I think when you look at our organic portfolio, yes, that's a Colombian-focused strategy. That doesn't mean that if we find and if we -- our team discovers or encounters such a beautiful and incredible asset like CPO-5 or even Llanos 34 that is -- happens to be located in Brazil, then I don't think the borders or the country location should limit us for [technical difficulty] an asset like that. So the way to look at it from our point of view is really the subsurface quality of the assets. And obviously, it would need to be located in countries where we are open for business, right? There are some countries that are off limits for us in Latin America. But that's the way I would put it. And in any case, given that incredible organic portfolio that we have, we have a lot of things to do and to deliver on the last couple of years of asset additions that we've done to the company. So we expect 2022 to be a very busy year in starting drilling and tapping some of those great prospects that we were able to incorporate to the company throughout that famous land grab that we did in 2019. So sorry for the long answer, but I hope that's more or less clear on the way we are thinking about the Colombian focus versus whether we still look at the region or not.
Alejandro Demichelis : That's very clear. And just to kind of put into a bit of a framework here between kind of leverage, CapEx to develop those assets that you're talking about and return to shareholders, how should we think about what's the optimal leverage for GeoPark, particularly with what you're talking about, the increase in production in the second half of the year, the free cash flow and then more growth into 2022?
Andrés Ocampo: Sure. So if you look at our last couple of years, we've prioritized 100% of the CapEx to be fully funded within our own cash flows. That's top priority and that's the basic element that our work programs -- after which our work programs are defined. And then the second element for us to allocate capital to is basically a combination of debt reduction and shareholder value returns. We announced today that we doubled our dividends, and we continue to execute on our buybacks. But also earlier this year, we did a liability management transaction to accomplish mainly 2 things. The first one was to reduce the total size of our debt by approximately $100 million [technical difficulty] more than that, reduce the cost of the debt, but also structure our debt in a way that we have the optionality to continue bringing down the total size of the debt anytime we have excess cash or we can have that type of optionality right now. So today, our total debt is separated in 2 instruments, the remaining amounts on the 2024's and the $500 million bond that matures in 2027. So you should think the 2024's as something that will gradually be repaid over the course of the next, I don't know, a couple of years maybe, hopefully earlier than that. But that is the fraction of the debt that will basically go away over the course of the next years. And then keeping the $500 million 2027, that's more or less -- that more or less gives you where we are in terms of comfort zone. With the levels of EBITDA that we're estimating for this year, next year, that should put us somewhere below the 1x net debt-to-EBITDA in terms of leverage. So that's -- I would call that more or less our comfort zone. We will always work on trying to reduce the total size of our debt.
Operator: [Operator Instructions]. Our next question is coming from Stephane Foucaud from Auctus.
Stephane Foucaud : A few questions from me. The first one, I saw that for the second quarter in a row, the OpEx for Colombia is just, I think, north of $7 a barrel. And I was wondering whether this is a run rate, a new run rate or you would expect that to go down? Second question, there is a big, I think, positive working capital movement this quarter that's impacted positively the cash flow. And I was wondering whether we should expect to reverse of that next quarter or whether, again, it's more a correction of historical situation? [Technical difficulty] an update on your base view with regards to when you would start drilling Ecuador?
Andrés Ocampo: Stephane, thank you for your question. With respect to your question about the OpEx in Colombia, this quarter, there was a small increase because of we had Platanillo shut in for a period of time. And basically, there was a reduction in the inventories and that generated something like $0.30, $0.40 per barrel increase in the OpEx. But more or less the run rate for the full year is more or less in the average of between -- for Colombia, between $7 to $7.50 per barrel consolidated. That is more or less the number that we're seeing. In any case, Martin and his team continuously have and are working on initiatives, different initiatives to push those numbers down like the connection to the grid that we're expecting for [technical difficulty] some other initiatives that the team is working. But for now, something between $7 to $7.50 per barrel is more or less a reasonable number for Colombia consolidated. Your question about working capital, you are correct. Basically, what we did is for the couple of months where we were facing basically disruptions in Colombia, we had paid down $115 million of debt. At the same time, we were facing disruptions in our operations, in our core cash flow generating assets, planning and some other things. On top of the payments, at the same time, we paid cash taxes for $40 million. So basically, to protect the cash and to expand our minimum cash positions, we triggered an option that we have in our sales contracts to anticipate collections. So that basically is more or less $15 million that you see increasing or improvement in working capital is coming from there. So over the course of the next few months, you should see that reverting as the operations have now normalized and the [technical difficulty] as well. And then your comment about the Ecuador, I would leave Martin to answer that. Thank you, Stephane.
Martin Terrado: Stephane, so in Ecuador, we're encouraged, as you know, the government has changed, and they are pushing for activity. So we have 2 blocks there, the Espejo block, we were waiting on the environmental study approval. We expect that to be ready by November. And we have already awarded the seismic company. So we expect late this year, first quarter of next year to be acquiring that seismic in the block that we operate. And the other block, the Perico block, which is operated by our partner, it's on the same level in timing for the environmental study to be approved around November, and then we will move ahead with drilling the well, the first well on that block. So we're encouraged about that, and those are the time frames that we have in mind.
Stephane Foucaud : So you're talking about, what, first well in Q1 2022, something along those lines, if everything move well?
Martin Terrado: Yes.
Andrés Ocampo: Correct, Stephane.
Operator: Our next question comes from Daniel Guardiola from BTG Pactual.
Daniel Guardiola : I have a couple of questions. My first question is related to your hedging strategy. And once again, we saw it, Andrés, a significant amount of realized losses related to the hedging strategy in this Q. And I wanted to know if you could provide some color on what to expect for the second half of the year? And if you're planning or not to modify your hedging price. So that's my first question. And my second question is related to CPO-5. And I'd like to know if you can provide us some color on the drilling campaign in this field. How much capital are you planning to allocate in CPO-5 this year and next? And how do you feel that your relationship with the operator of this field has been evolving in the last couple of months?
Andrés Ocampo: Thank you, Daniel. The -- your question with respect to hedging, unfortunately, the hedging result, the realized losses are always depending on the realized prices. So it's hard to forecast, and it always depends on realized prices. As we commented on [technical difficulty], there's 2 effects that start to occur from -- or started to occur from July 1 on. One is the fact that the ceilings started to be higher than the first half. And then also the total percentage of hedged production was lower. So the first half of the year, we had nearly 80% of our production hedged with ceilings of $52, $53 per barrel. So we just went through the worst part, I would say. So the biggest losses have already been recorded. For the second half of the year, it depends on what the realized prices are going to be. But if you estimate something like a $70 Brent flat, $65, $70 Brent flat, that could generate $20 million to $25 million of additional cash losses, realized losses over the course of the second half of the year. To give you an idea, we have more or less 57% on the third quarter and 51% on the fourth quarter hedged more or less. And then the ceilings are $62 on the third quarter and fourth quarter is $64 and that's for the hedged production, so -- which is roughly half of our production. So that more or less gives you the idea on what we are expecting on the second half of the year. And then with those price levels, we don't expect any losses [technical difficulty] because the ceilings we have there are above $75 per barrel for the portions that we have hedged. With respect to your comment about the hedging strategy, as I said, we are going through the most difficult part of the hedging, which is we have a lot of barrels hedged that were done when oil prices were low, where we were probably hedged below our expected targets. And that's why it is today that we're suffering these losses. But this is a part of the cycle where more hedges should be added for the following quarters. So we are keeping our discipline. We're still targeting to have roughly 40%, 50% of our production hedged more or less up to 12 months ahead. And these times where oil prices are at the high levels, this is where we believe that those hedges should be implemented. We are doing it slowly, conservatively on a layer-by-layer basis, monitoring the market on a daily basis. And every time we find a good window, [technical difficulty] a couple of thousand barrels more to those hedges. That's more or less the way we expect to continue executing on this strategy. We're not speculative. We're just trying to protect the return for our shareholders related to the investments that we're making. We have the luxury that we can make double, triple-digit returns on our investments and that we don't need significant high prices to achieve those returns, and that's why we are expecting to continue that way. And then, Martin -- I'll leave Martin to answer the -- more color on CPO-5.
Martin Terrado: Daniel, so on CPO-5, we will be drilling the first development well, Indico 4, in the fourth quarter of 2022 -- 2021, sorry. This well is about 0.5 kilometer from Indico 1. Indico 1, it's still producing more than [technical difficulty]. It has a cumulative of 4.5 million barrels. So we continue to be very excited about this asset. Following the drilling of that well, we will drill 1 to 2 exploratory wells and the campaign will move continuously into 2022. So we expect activity to continue to ramp up and stabilize with 2 rigs drilling from the last quarter of this year forward. Currently, we're producing around 13,000 barrels of oil per day. And concerning the question about our relationship, we continue nurturing it. I will give you one example. We had a very tough month when the blockages were happening. And jointly between both partners, we managed to work together so the trucks were available to minimize the amount of oil that we will have to shut down. So we're working on that. And right now, as Jim mentioned, where [technical difficulty] alternative so that we can accelerate the work program.
Daniel Guardiola : Thank you, Martin. If I may, just very brief follow-ups. Can you share with us how much capital are you planning to allocate in CPO-5 this year?
Martin Terrado: Certainly. So year-to-date, we have $5 million. And by the end of the year, we expect to be in the order of $10 million to $15 million our working interest.
Daniel Guardiola : Okay. Great. Thank you, Martin. And Andrés, I would like to just have a very brief follow-up on the hedging strategy. I understand I mean you have a hedging strategy where you have basically put spreads and zero-cost collars. But I wanted to know if you are considering to modify a little bit your strategy in order to lock in your future -- or a portion of your Q2 production, your future cash flow generation. Is that something that you're considering right now or is out of the table?
Andrés Ocampo: No. Thank you, Daniel. Nothing is out of the table. The different structures and the different options, and we've executed different structures and different options in the past. And nothing is off the table. We are -- we consider everything. We work internally. We have internal experts and outside advisers that help us and we continuously look for what's the best for our company. So, so far, the way we've approached these higher oil prices is to try to secure minimum floors and trying to keep some of the upside, and we're limiting at these prices. Basically, if we were to fix the -- try to fix whatever is current prices today, that would mean that we would limit the upside to a much lower number. So far, we've selected and preferred [technical difficulty] a wide spread around $20 or more of spread. But again, as I said, we're willing to consider any option and all different options that we may find better for what we're looking for. And just as a reminder, we recognize when we mark these, losses in the balance sheet are painful for everybody. But there were, I think, more than 200 bankruptcies and $12 billion worth of hedging losses I read somewhere in the U.S. only. So we're not alone, but some of the companies that have succeeded and survived through that downturn was basically those that had appropriate hedging strategies in place.
Operator: Our next question comes from Gustavo Sadka from Bradesco BBI.
Gustavo Sadka : I have one quick question on production. Looking at your guidance, you have -- you average something like 42,000 to 43,000 barrels per day in the second half of 2021. So my question is, where production stands now? And what are the milestones necessary to achieve this goal?
Martin Terrado: Gustavo, so our production right now is in the order of 39,000 barrels of oil equivalent per day. And as we mentioned at the beginning, the increase that we're going to have is coming from the activity that we have with the 3 rigs that will stay drilling in Llanos 34, also increased production in the Platanillo block as we have 2 wells to be drilled. We have 100% working interest there. And finally, the CPO-5 block, drilling of the Indico 4 well as we were mentioning before with Daniel.
Operator: Our final question comes from Miguel Ospina from Compass Group. And his question is, "Use of proceeds from asset sales in Brazil?" So I think Miguel is just asking about the use of proceeds from asset sale in Brazil.
Andrés Ocampo: Okay. Great. Well, thank you. We're expecting that -- those transactions are going in due course. We're expecting to close hopefully before the end of the year, if there are no further delays. The proceeds from those should be somewhere around the -- they are real-denominated. So it should be somewhere between $25 million, $28 million. And our expectation is to include those in our cash position and follow -- or our cash flow position and follow the normal priorities for capital allocations that we follow. Our assets first, fund our base work program first. And then second, to pursue a combination of debt reduction and shareholder value return. That would be -- effectively, they would follow the same priorities that all of the rest of our cash flow that is coming every day.
Operator: We currently have no further questions, so I will hand back to the management team to conclude.
Andrés Ocampo: Thank you, everybody, for your interest in GeoPark and your continued support of our company. As the world's borders begin to open again, we encourage you to please visit us at our operations in Latin America. Our shareholder value team has accelerated their interactions and is busier than ever with webinars, video conference and direct calls and is available around the clock, as is our management team to answer any questions or listen to your comments. So thank you, and please stay healthy and strong.
Operator: This concludes today's call. Thank you, everyone, for joining, and you may now disconnect your lines.